Operator: Good afternoon. My name is Matt, and I'll be your conference operator today. At this time, I would like to welcome everyone to Pursuit's 2025 Fourth Quarter and Full Year Earnings Conference Call. [Operator Instructions] Thank you. Carrie Long, you may begin the conference.
Carrie Long: Good afternoon, and thank you for joining us for our 2025 full year earnings conference call. During the call, you will hear from David Barry, our President and CEO; and Bo Heitz, our Chief Financial Officer. As David and Bo cover our results and outlook, they will be referencing our earnings presentation, which is available on the Investors section of our website. We encourage investors to monitor the Investors section of our website in addition to our press releases, filings submitted with the SEC and any public conference calls or webcast. Today's call will contain forward-looking statements, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to the disclaimer on Page 2 of our presentation for identification of forward-looking statements and for a discussion of risks and other important factors that could cause results to differ materially from those expressed in such statements. During the call, we will also discuss non-GAAP financial measures and definitions of those non-GAAP financial measures are provided on Page 3, and reconciliations to the most directly comparable GAAP financial measures are provided in the appendix of the presentation and in our earnings release. And now I will turn it over to David, who will start on Page 4 of our earnings presentation.
David Barry: Thanks, Carrie, and thank you all for joining us as we review our record-breaking 2025 results and unveil our vision for continued significant long-term growth. Today's call will be slightly longer than usual as we have so much to talk about. So let's settle in, get comfortable and off we go. I'll start by celebrating 4 notable achievements that reflect the incredible momentum we've built and the even greater potential ahead. First, we delivered our best results ever in 2025 with significant year-over-year growth, all while continuing to deliver extraordinary experiences for our guests. Second, we executed a thoughtful set of strategic moves to strengthen long-term shareholder value, including acquiring Tabacón in Costa Rica, entering into an agreement to sell FlyOver and investing in ourselves through share repurchases. Third, we're introducing our Vision 2030 long-term financial targets to drive our next phase of accelerated growth backed by a proven strategy, strong balance sheet and meaningful pipeline of high-return investment opportunities. And fourth, we're guiding for continued strong growth in 2026 and are well positioned to benefit from global consumer demand trends for experiential travel to iconic destinations. So let's review our record 2025 results and exciting achievements on Page 6. During 2025, our team delivered extraordinary experiences to 4.2 million attraction visitors and welcomed guests across 439,000 room nights. We drove strong broad-based growth. Revenue reached $452 million, up 23% year-over-year. Adjusted EBITDA surged 52% and margins expanded to 26%, clearly demonstrating the power and scalability of our model. Our record results are driven by our incredible team members and leaders who relentlessly focus on elevating the guest experience across our businesses. This focus helped drive a year-over-year increase in our already strong guest experience scores. Our engaged teams, elevated guest experiences and the enduring pull of our destinations continue to propel Pursuit forward with real momentum. Now let's turn to Pages 7 and 8 and walk through the series of strategic actions we took over the past year to redefine our future. We are executing a disciplined transformation to strengthen our portfolio and unlock long-term shareholder value. Our strategy is simple and focused. Using Refresh, Build, Buy, we're growing our core site-seeing attractions and hospitality experiences in the world's most iconic destinations. At the end of 2024, after a decade of meaningfully scaling Pursuit within Viad, we sold GES, our legacy sister business, retired all of our high-cost Term Loan B debt, strengthened our liquidity and converted our preferred stock into common stock. This reset our balance sheet and sharpened our focus. In January 2025, we launched Pursuit as a stand-alone pure-play attractions and hospitality company with the financial structure and flexibility to accelerate our proven growth strategy. By July 2025, we expanded into the Costa Rican market with the addition of Tabacón, a one-of-a-kind thermal river attractions and luxury hospitality experience that strategically fit perfectly as a powerful addition to our portfolio. In September of 2025, we acquired full ownership of our high-performing Glacier Park subsidiary. And in December 2025, we purchased the minority interest in FlyOver Iceland. These intentional transactions simplified our capital structure and eliminated $25 million of noncontrolling interest liabilities. In January of this year, we entered into an agreement to sell our noncore FlyOver business at a premium valuation of approximately 15x 2025 adjusted EBITDA. We expect that sale to close this spring. Additionally, through our share repurchase program, we've returned $14.5 million to shareholders through opportunistic repurchases, underscoring our confidence in the long-term value of our company. These moves reflect disciplined value-accretive portfolio management and mark the next step in a decade-long growth story as we continue to build a stronger company to the long term. And now I'll turn it over to Bo to review our 2025 financial results before we dive into our Vision 2030 targets and 2026 expectations.
Michael Heitz: Thanks, David. I'll start on Page 9. Our full year revenue grew 23% to reach a new record of $452.4 million. This growth was primarily driven by a strong recovery across our Jasper properties that were temporarily closed during the second half of 2024 due to wildfire activity as well as by incremental growth from our new experiences, strong yield optimization and visitation across our geographies and continued momentum in overall guest demand for our distinctive existing experiences in iconic places. Excluding our Jasper properties and new experiences that were not operated by Pursuit for the entirety of 2025 and 2024, our revenue increased $29.7 million or 10%. We delivered revenue growth across all geographies, with particular strength across our Canadian operations and at Sky Lagoon, supported by continued global secular trends, our differentiated businesses and our passion for delivering incredible experiences for our guests. In addition to broad demand, we experienced minimal impacts to our operations from inclement weather and smoke as compared to typical years. Net income attributable to Pursuit, which is inclusive of discontinued operations, was $22.7 million as compared to $368.5 million in the prior year. The year-over-year change was primarily driven by the sale of GES in 2024. Adjusted net income was $33.5 million as compared to $3.7 million in the prior year. The year-over-year growth of $29.8 million primarily reflects higher adjusted EBITDA. Adjusted EBITDA increased by $40.1 million year-over-year to $117.1 million, primarily driven by significant revenue growth with strong margin improvement of 500 basis points, supported by operating leverage in the business and continued cost discipline. Now let's look at our attractions performance on Page 10. Attraction ticket revenue reached $201 million, reflecting a 24% year-over-year increase driven by substantially higher visitors and effective ticket prices. Visitors increased 12% year-over-year due to a strong Jasper recovery, new attractions and overall robust demand for our one-of-a-kind sightseeing attractions. Same-store constant currency effective ticket pricing, which excludes our Jasper properties temporarily closed in the prior year and new attractions, grew by 9% compared to 2024. This improvement was enabled by our focus on guest experience with particular strong performance from our Canadian attractions in Banff and Golden and from Sky Lagoon in Iceland. Next, let's turn to our hospitality performance on Page 11. Lodging room revenue totaled $105 million, reflecting a 28% year-over-year increase driven by a strong Jasper recovery, new lodging and improvement in same-store ADR and occupancy. All of our collections delivered growth in room revenue during the year. Same-store constant currency RevPAR, which excludes our Jasper properties temporarily closed in the prior year and new lodging grew 7% as compared to 2024. Our lodging properties are in iconic high-demand travel destinations, offering guests direct access to some of the most breathtaking natural settings, including nearby Pursuit sightseeing attractions. These markets also benefit from compression dynamics supporting both strong rates and high occupancy. And with that, I'll turn it back to David to introduce our Vision 2030 long-term financial targets.
David Barry: Thanks, Bo. On Page 13, let me start with this. Pursuit is in a category of one. We deliver irreplaceable natural world experiences at scale, and we do it with a model that compounds. From 2015 to 2025, we transformed Pursuit into a powerful growth engine. We expanded our network of one-of-a-kind destination assets. We deepened our operating system, and we consistently converted guest demand into durable, growing cash flows. That momentum is not episodic. It's structural. We're well positioned relative to strong secular trends as shown on Page 14. Global travel demand is strengthening, and our portfolio is exceptionally well positioned to capture this momentum. International tourism is expected to grow again in 2026, supported by higher airline passenger volumes, increased tourism spend and strong traveler intent. Travelers are planning more trips, longer leisure stays with larger travel budgets, creating a healthy backdrop for sustained industry growth. We're also benefiting from powerful structural shifts in traveler preferences. Wellness, adventure and outdoor experiences continue to trend strongly with more global travelers prioritizing wellness and showing greater interest in nature-centric destinations. And this aligns directly with the core strengths of our business. At the same time, travelers are placing a premium on unique and elevated experiences. The guest behaviors we're seeing show folks planning to splurge on upgraded destination activities and they're booking tours and experiences. The rapid adoption of AI-driven trip planning is further accelerating discovery and booking of curated activities, an advantage for distinctive experiential brands like ours. So taken together, these durable global travel trends, rising tourism activity, a heightened demand for wellness and adventure and the prioritization of immersive experiences create a favorable environment for our continued growth. Page 15 explains our differentiated model and strategic positioning. What makes Pursuit different is simple and fundamental. We own and operate forever assets in the world's most iconic destinations. These attractions and lodges are experiential infrastructure that enable our guests to access and experience iconic natural places. They're not replicable. They're long-lived and they sit where demand shows up year after year. Our demand is perennial and anchored to the destinations themselves, not consumer cycles. Banff, Jasper, Waterton, Denali, Kenai Fjords and Glacier National Park as well as Iceland and Costa Rica, these are all bucket list places. Guests already choose them, and we meet them in destination or pre-arrival and elevate the journey with authentic natural experiences. That creates durable, visible and predictable demand. Supply is structurally scarce due to our true one-of-a-kind locations. Protected environments, long-dated concessions, stringent permitting and years of disciplined capital allocation make our assets impossible to replicate. These characteristics create an enduring competitive advantage. Our culture is our strategic advantage, guest-obsessed hospitality, experience design-driven, growth-minded and powered by leaders we developed. With restless energy and an owner's mindset, we combine discipline and innovation to deliver sustainable growth that differentiates us. Pursuit operates as a connected ecosystem of vertically integrated operating system for experiences. We orchestrate the full visitor journey across attractions, lodges, food and beverage, retail and transportation. The network effect is real. Every exceptional moment lifts satisfaction, raises spend and strengthens performance across the platform. The operational complexity, including logistics, safety, hospitality, design and guest flow is a capability we've owned over decades. The result is consistent compounding cash flow. Our revenue is driven by greater guest satisfaction, visitor volume and yield growth, not ADR cycles. And because we largely serve a mass affluent traveler for whom our experiences are a small share of overall trip spend, our guests are generally willing to pay for differentiated experiences. So when I say Pursuit as a category of one, I mean exactly that, irreplaceable assets in perennial demand destinations operated through a refined vertically integrated system by passionate hospitality team members, delivering world-class natural experiences and compounding value over time. And as we think about driving shareholder value, we do that through 4 powerful levers, which are highlighted on Page 16. First, we're focused on always elevating performance across our iconic experiences. Our teams continue to deliver consistent year-over-year growth by leveraging strong perennial demand and maintaining an unwavering focus on the guest experience. Second, we're driving organic growth through our refresh and build investment strategy. These targeted investments enhance the guest experience, expand capacity and generate attractive returns across our portfolio. Third, we're accelerating expansion through strategic acquisitions. We maintain a robust and well-developed pipeline of opportunities that complement our existing assets and align with our strategy and values. And fourth, we're deploying capital through opportunistic share repurchases. Investing in our own business at compelling valuations is an important part of our capital allocation strategy and reflects our conviction in Pursuit's long-term value creation potential. These growth levers are supported by a strong balance sheet and low net leverage that gives us the flexibility to invest in both growth and opportunistic share repurchases while maintaining financial strength. So with these levers and our differentiated business model, we're excited to share our long-term view to 2030 with you today, starting with revenue on Page 17. So from 2015 to 2025, our total revenue, excluding FlyOver, grew at a compound annual growth rate of approximately 14%. Looking ahead, we believe we can continue to grow revenue at a double-digit compound annual growth rate through 2030. We're targeting revenue of more than $845 million by 2030, reflecting our transformational strategy to become the world's leading iconic attractions and hospitality company. Our growth model combines durable organic performance with disciplined inorganic expansion, creating a scalable platform capable of delivering sustained top line growth. Turning to Page 18. The strength of our revenue growth engine, paired with high incremental flow-through and disciplined cost management sets the stage for strong adjusted EBITDA growth. By 2030, we seek to grow adjusted EBITDA by more than 2.3x with a target of more than $265 million, excluding FlyOver. And we're targeting an adjusted EBITDA margin of more than 30%. Our business model is built to convert top line growth into sustainable earnings and margin expansion. We benefit from high incremental flow-through as revenue grows supported by disciplined price and mix management and a cost structure that scales efficiently with volume. We have confidence in our ability to drive sustainable yield growth because our experiences are one-of-a-kind, guest-centric and located in iconic capacity-constrained destinations with perennial demand. Our lodging RevPAR and attraction ETP metrics remain resilient and consistently stronger than what we see across the broader hotel and attraction industry, underscoring the strength and differentiation of our platform. Across our network, we're unlocking additional revenue by filling white space at our attractions, using thoughtful guest programming and pricing to extend seasonality and smooth out visitation peaks. We're also strategically allocating room inventory in capacity-constrained markets across channels, optimizing yield while deepening cross-selling into attractions and other experiences. Additionally, our refresh and build investments enhance the quality of individual assets, expand capacity and generate incremental EBITDA as each project comes online and ramps. We have a powerful refresh and build investment pipeline of more than $300 million from 2026 to 2030 that positions us for accelerated growth with projects in development and additional opportunities in planning that expand capacity and unlock new yield in our highest demand markets. When we enhance the guest experience, we see it directly in greater happiness, increased volume, higher rates and higher spend per guest. A great example is our Golden Skybridge attraction where we've continued to expand the experience from sightseeing suspension bridges into a multi-experience adventure park, which includes ziplining, a mountain coaster ride, Canyon Edge Challenge Course, Giant Canyon Swing and more. By elevating the guest journey and expanding the experience, the team has delivered meaningful growth in total revenue per visitor and sharp improvements in guest experience scores. It's proof that when we elevate the guest experience, yield follows. And we're far from finished. Teams across Pursuit keep inventing new breakthrough ways to wow our guests staying obsessively focused on continuous improvement that drives growth. For buy opportunities, our robust acquisition pipeline spans both tuck-ins in existing geographies and forever experiences in new iconic destinations. We enter those with a flagship attraction and then over time, scale into a destination-defining collection. We invest with discipline and ambition directing capital to forever one-of-a-kind experiences in iconic locations where demand is perennial and supply is limited. Every project must clear our 15% plus IRR hurdle rate and deliver attractive margins, provide exceptional guest satisfaction while operating in business-friendly countries. All of this is supported by a strong balance sheet, which will soon include expected FlyOver sale proceeds and continued EBITDA growth, giving us substantial investment capacity to execute this pipeline and accelerate our trajectory while also being opportunistic in repurchasing our own stock at compelling valuations. Together, these levers enable us to translate revenue growth into sustained earnings momentum and move steadily toward our long-term targets. With that, I'll turn it back to Bo to zoom in on our outlook for 2026.
Michael Heitz: Thanks, David. As shown on Page 21, we have a favorable demand setup as we head into 2026. Our destinations benefit from the power of perennial demand for iconic places, and that demand is only strengthening. In Canada, the government is renewing free admission to national parks through the Canada Strong Pass for summer 2026, expanding access during the peak travel season. And Banff was recently named the best place in the world to travel in 2026 by National Geographic, another powerful signal of its global appeal. In the U.S., access to Glacier National Park will improve with the removal of time to entry vehicle reservations, which is expected to support higher visitation in 2026. In Alaska, Anchorage air service continues to expand and the new Seward cruise ship docking area opens in 2026, increasing capacity for both independent travelers and cruise guests. In Costa Rica, tourism momentum remains strong with the market projected to grow at high single digits from 2026 through 2031. Across our portfolio, iconic destinations paired with structural demand tailwinds give us confidence in continued growth ahead. Turning to our early demand indicators on Page 22. Our lodging pacing for 2026 is off to a solid start across both Canada and the U.S. and supports our view for continued demand. While we are still early in the year, our Canadian and U.S. lodging properties are pacing well compared to the same time last year. The charts on this page show our confirmed room bookings. In addition to this, we have strong demand for our travel trade partners this year, which is not fully reflected in these numbers. As a reminder, our travel trade partners hold inventory with strict release dates, generally 90 to 120 days out. Unsold tour and travel inventory gets released and is immediately available to FIT, consumer direct and OTA channels. We have a proven track record of managing inventory to maximize both capacity and rate in peak season. On Page 23, you'll see a quick update on Tabacón, our newest acquisition and exactly the kind of high-quality buy opportunity we're targeting. Tabacón's premier thermal river attractions and luxury resort are in one of Costa Rica's most iconic destinations. It delivers strong year-round performance and provides counterseasonal EBITDA that complements our Canadian and U.S. businesses with its peak season underway. Since joining Pursuit, the team has completed meaningful upgrades, including improvements to the arrival experience for our main premium thermal river attraction. We've also rebranded the second thermal river experience from Choyin Rio Termal to Hot Springs Pura Vida, creating a clearer, more compelling day use offering. Early booking pace for 2026 is encouraging with strong demand across both the resort and our thermal river experiences. And our build and buy growth investment evaluations are in full swing, exploring opportunities to enhance the existing experience and expand our presence in Costa Rica. With robust demand, ample capacity and the continued ramp-up of the thermal river attractions, we see a clear path to growth. Tabacón is highly aligned with our strategic priorities and will play an important role in advancing long-term value creation. Let's turn to our 2026 financial outlook on Page 24. We expect 2026 to be a pivotal year for execution of large-scale multiyear, high-return growth projects, combined with continued strong profitable growth. Our adjusted EBITDA guidance range of $123 million to $133 million reflects an increase of approximately 9% at the midpoint from 2025. This guidance includes adjusted EBITDA of approximately $500,000 from FlyOver, assuming the sale closes this spring. Excluding FlyOver from both years, revenue and adjusted EBITDA are expected to increase double digits at the midpoint from 2025 with adjusted EBITDA margin improvement. We also expect meaningful incremental adjusted EBITDA from Tabacón of approximately $7 million to $8 million relative to the prior year. Our outlook reflects solid underlying growth drivers, including continued demand for authentic experiential travel in iconic destinations and improvements in guest experience and revenue management that are driving higher effective ticket prices, ADR and visitation. Strong flow-through and disciplined labor and expense management further enhanced year-over-year EBITDA growth. With 2025 being such a standout year of performance, it sets a particular strong prior year baseline. We are assuming some weather normalization compared to the unusually near perfect conditions we experienced during our peak summer season last year. Our multiyear growth capital expenditures are expected to have a minimal impact on 2026 results, impacted by some temporary disruptions during our seasonally slow periods from our phased lodge renovations. But these investments will help propel our growth beyond this year. With the upcoming sale of FlyOver, our income tax position will shift in a favorable direction driven by an expected improvement in our U.S. financial results. As a result, we are anticipating a much lower effective tax rate in 2026 and beyond of approximately 22% to 26%. From a macro perspective, our guidance assumes an exchange rate of USD 0.73 for each Canadian dollar, which is similar to the 2025 average rate. Now let's turn to Page 25 and walk through our meaningful pipeline of refresh and build projects planned for 2026. We've built a robust pipeline of growth investments across our well-instrumented experiences, backed by strong execution capabilities and a track record of delivering returns. Our teams work year-round to surface high-impact ideas and rigorously compete to advance the most compelling projects. In 2026, we're accelerating our investments in iconic forever assets to fuel our long-term growth. We expect growth capital to increase meaningfully from 2025 to approximately $88 million to $93 million in 2026 as we move forward with major planned investments that have a total commitment of approximately $200 million and an effective adjusted EBITDA multiple of less than 7x by 2030. We anticipate a large portion of these returns beginning in 2028. Over the last decade, Pursuit has completed 16 major refresh, build and buy growth projects that collectively contributed approximately $102 million of adjusted EBITDA in 2025, reflecting an effective multiple of approximately 6x, demonstrating a disciplined, repeatable investment approach and supporting expectations for continued attractive returns. Pending relevant approvals, our 2026 growth capital plan includes a number of exciting projects, a few of which we are highlighting today. In Jasper, we plan to refresh the Jasper SkyTram to replace aged experiential infrastructure with a renewed iconic site-seeing experience in Jasper National Park. Additionally, we are in the process of completing the Forest Park Hotel Woodland Wing renovation to better align the property with mass affluent leisure demand in Jasper National Park. The first phase was completed ahead of the 2025 peak third quarter and delivered a 22% ADR increase versus non-renovated rooms in the second half of the year. The next phase is well underway and expected to be completed ahead of the 2026 peak season. We also plan to begin a refresh of the Lobstick Lodge to improve and reposition the property to capitalize on high market demand from both consumer and tour and travel segments in Jasper National Park. We're planning investments to refresh the Banff Gondola, making experiential enhancements to improve all aspects of the guest journey at this iconic attraction in Banff National Park. In Montana, we're focused on the phased transformation of the Grouse Mountain Lodge to reposition the property for higher-end lodging demand and create a compelling differentiated offering for Glacier National Park visitors. The first phase, which has commenced, includes upgrades to guest rooms and pool area and the addition of a new event pavilion with completion expected later this year. And in Alaska, we are in the process of reimagining the Denali Backcountry Adventure. This is a premium, high-margin guided guest journey experience deep into Denali National Park that has been closed since 2021 when a landside closed road access. We plan to reopen the Denali Backcountry Adventure to guests in 2027 to coincide with the planned National Park Road reopening. These projects are transformational in nature and will accelerate our momentum beyond 2026. And with that, David, I'll turn it back to you.
David Barry: Thank you, Bo. I'm pretty lucky I get to work with smart, passionate and guest-obsessed colleagues every day. And without their cheerful and determined energy, we could not have delivered such strong results. I'd like to close by recognizing our team members for their commitment to success. Their focus on delivering exceptional guest experiences and driving continuous improvement is central to our performance and long-term value creation. To our shareholders, thank you for your continued support and encouragement. We remain disciplined in our execution, committed to strengthening our portfolio and focused on delivering sustained growth, expanding profitability and creating meaningful long-term shareholder value. And with that, let's open up the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jeff Stantial with Stifel.
Jeffrey Stantial: Maybe starting off on the new long-term targets for 2030 appear quite impressive. I was hoping you could just expand a little bit on one of the 4 categories there, specifically the buy, the M&A category. I guess how much are you assuming for EBITDA contribution from acquisitions in the 2030 target? How confident are you in this materializing just based on the pipeline of discussions you're seeing today?
David Barry: Jeff, I'll jump in. It's David and pass it over to Bo in a second. But I think one of the things to remember, as you well know, is that we -- the challenge with picking a particular acquisition and when it's going to actually close is a little bit challenging just given the rhythm and nature of M&A. And so what we've done is we tried to view into the future and to say we expect to have a certain amount of acquisitions occurring over a period to say exactly when they'll occur. And there's also some -- it's challenging. And then there's also opportunity. We have the balance between our organic refresh growth lever that we can accelerate, decelerate again given the size of acquisition opportunities that we may find. And so if everything were the same size, it occurred on a very timely basis, it would be [Technical Difficulty]. But what we've tried to do is articulate a vision for the future that clearly shows a balance between the 4 levers of growth.
Michael Heitz: Yes. And Jeff, I mean, directionally, you can see that the majority of growth is still expected to come from the organic side, which -- on the organic side, we are still expecting double-digit CAGR of -- alone just with that. But as you probably saw on the page, there's acquisitions that are still a key component of that when we think of the overall growth. And I think if you look back over the last 10-plus years, you see that that's really been the case up until this point as well. And so it's really a continuation of strategy and executing against that.
Jeffrey Stantial: That's great. And then maybe sticking on the targets, the $200 million of committed project spend that kicks off this year, you noted a 7x or sub-7x expected blended multiple for that spend. Historically, the average you call out has been closer to 6. Is this just conservatism? Is there anything structurally different in this opportunity set? I recognize it might seem like small variance, but we are getting questions here. So just anything to help reconcile that gap would be helpful.
Michael Heitz: Yes, I don't really view it as a gap, Jeff. It is -- I mean, as you said, it's really a sub-7x multiple target around that. And what you've seen historically from us is that we've been able to achieve that. So we incorporated all of our expected returns across all those projects. But the reality is all these projects are categorically very similar to things that we've had success deploying capital and getting our returns in historically. You think about it as there's the experiential infrastructure of these aerial roadways, which we have a couple of key projects in that category. You have the lodging refresh type projects that we've been executing consistently over time now. And then Denali Backcountry Adventure, that's one where actually already is a business that we've had historically, but it's really reimagining and bringing it back online. So high degree of confidence. I think the sub-7x is appropriate, and that means that we can definitely achieve and hopefully exceed that.
Jeffrey Stantial: That's great. And then maybe if I could just squeeze in one quick housekeeping item. Slide 18 mentioned mid-single-digit baseline growth embedded in the target. Just to be clear, is that revenue growth? Or is that EBITDA growth?
Michael Heitz: I mean, honestly, I think it's safe to assume both on that category. But the reality is that's really the baseline before you have any growth capital projects layered in on top of that. And so as you can imagine, in any year, historically, we would have some level of growth capital, and we're really talking about accelerating that above and beyond normal over the next few years here. But I think the right way to think about that is organic growth prior to any growth capital investment on it.
Jeffrey Stantial: Okay. Again, congrats on the strong year, strong guide and some great targets here.
David Barry: Thank you, Jeff.
Operator: Your next question comes from the line of Tyler Batory with Oppenheimer.
Tyler Batory: I got some technical difficulties here. So hopefully, my questions haven't been answered. Can we go to 2026 first before we go to 2030? And I just want to be clear on the guide you're giving for this year. What's contemplated in terms of organic revenue, organic EBITDA and then the margin expansion that's implied on an apples-to-apples basis, excluding Flyover. Just talk a little bit more about what's contributing to that? And then I don't know if you can touch on what you're expecting in terms of expense line items, things like labor, et cetera.
Michael Heitz: Sure. Yes, Tyler. So first, from a Flyover perspective, as you'll see and as we've disclosed, there's been a little over $5 million of EBITDA in 2025 for that. And we're assuming that, that transaction closes this spring and Q1 is a seasonally low quarter for FlyOver historically. So there's only about $0.5 million in the guide for FlyOver from an EBITDA perspective. So when you take that out off the table, that's when you're then looking at double-digit revenue and EBITDA growth on that. There is -- Tabacón is probably the other key thing of note that we acquired in July of 2025. And so you do have the full year run rate coming in on that, which that combined with continued growth that we expect at Tabacón results in about $7 million to $8 million of incremental EBITDA growth from that business -- we haven't given a specific revenue associated with that, but we have noted that, that was expected to be margin accretive to us from year 1 for that. So gives you some parameters around that. So when you take all that out, it's still, yes, quite strong growth that we're expecting over a strong 2025. That growth really supported by a variety of things. You have positive secular trends that we noted. As we said, business indicators continue to look strong into 2026 and beyond. Q1, frankly, has been off to a strong start with that. And yes, I think the thing to remember is that we're investing in once-in-a-lifetime experiential infrastructure. And when you have that, you have some powerful large-scale investment projects that drive -- we're expecting is going to drive some real meaningful long-term growth. And the reality is the majority of those projects are not coming online in 2026. So not quite the same as you might normally expect in this business as a result of that.
Tyler Batory: Okay. Great detail. So shifting to the 2030, and apologies if I missed this, but just help us think about how you're expecting to use the balance sheet leverage, et cetera. I mean to get to that 2030 target, I mean, are you assuming a little bit of incremental leverage on the balance sheet from where you are today or hoping to keep things somewhat consistent or at least within the targets that you provided to get to that $265 million EBITDA number?
Michael Heitz: Yes. So today, we're currently sitting at about 1x net leverage on the business. And as we shared, we view long-term leverage target to be more in the 2 to 3.5x range for this business. When we look at our Vision 2030 plan, we touched on the organic side of deploying over $300 million of growth capital into this business. That will have some leverage impacts. But as you can imagine, then you'll start to get the returns from that as those start to come online. But I think even if you just factor in the organic side, that still leaves a lot of capacity from a leverage perspective. And that's where the acquisition side comes into play.
Operator: Your next question comes from the line of Alex Fuhrman with Lucid Capital Markets.
Alex Fuhrman: Congratulations on all your many accomplishments in 2025. David, I wanted to ask about ticket pricing and the longer-term potential there. It looks like you guys had a really nice high single-digit increase in attraction pricing. But $50, I mean, that's still a really small percentage of what guests spend on lodging and in most cases, airfare for their trips to your region. How high do you think that number can go before there's any real meaningful resistance if you're able to keep executing and improving the service levels?
David Barry: Yes, Alex, thank you for that. I won't speculate on a number other than we believe that there's always opportunity to make things better. So if you start with that mindset and then you apply, again, back to the 4 levers of growth, right, where the business performs well on its own year after year and you're always looking for ways to make the experience better, then you're also looking to fill white space. So it's a balance between what we're doing on, say, increasing guest visitation in the slower periods of the year. Great example is Sunset Festival at the top of Banff Gondola. That didn't used to exist. 5:00, it was pretty quiet. Nobody was riding up to see sunset. But once you figure out the programming, then you've got opportunity in white space to have product that then suits the white space and that drives both experience quality and then it drives yield over time. So back to the 4 growth levers, you've got 4 different ways that we grow the company every day. Organic refresh growth is all about investing in the business to drive improvements, and that connects back to your question on ETP, the year-over-year improvement. And then as we look to tuck-ins and other things, there's always the power of packaging and bringing on more products that people are excited about. So it's really hard to predict the future. And I think every industry has that challenge of trying to pick a number. But I think in the end, it's -- you just put your head down and you make things better and guests are excited, and they want to come and connect with a place in a meaningful way.
Alex Fuhrman: That's great. Well, appreciate that, David. And then you -- along those lines of the improvements you're making, you talked a lot about some of the specific enhancements and upgrades you're going to be making in 2026. The commentary around the Banff Gondola was fairly vague about enhancements across the board. What are some of the specific things you're going to be doing at the Banff Gondola this year?
David Barry: Early days, but we're working on that planning now together with our partners at Parks Canada and envisioning what it could be. And for those that remember and maybe visited the Gondola prior to our investments in 2015, '16, there was a real step change transformation in experience. Together with Parks Canada, we created an amazing interpretive center for people to really enjoy the history of the park and tell the story of Banff National Park. Then we created really interesting food and beverage experiences. And so now we're 10 years later, and it's time to take a look and say, what can we do to continue to improve that experience and plan that out, work with our partners at Parks Canada and the community to envision what that could be and then work to execute upon it. So it's premature at this point to give you more specifics than that, but I can tell you that we're actively focused on that planning. And as that evolves, we'll be able to share more on upcoming calls.
Operator: Your next question comes from the line of Eric Des Lauriers with Craig-Hallum.
Eric Des Lauriers: Congrats on another strong quarter here. My first question is just a bit of a clarification that the long-term 2030 targets do assume double-digit organic growth and not just double-digit when including M&A. So that first clarification there. And then as we look at sort of visitation and same-store metrics for 2025 and we look at those as sort of an appropriate base going forward, is there anything you would call out as a onetime impact in 2025 from visitation, ticket price, RevPAR perspective?
Michael Heitz: Sure. So on the first part, Eric, there, you are correct in hearing that of what I was articulating there. And the reality is when you look at the slide we provided on the EBITDA growth, you'll see it come out to a combined CAGR of closer to 19% from an EBITDA perspective. And the organic side of that does get you into double digits even before you consider the acquisition side of what we're expecting. In terms of 2025, I mean, the reality is I do think that's a good base to build off from a same-store attraction visitor perspective. It was a strong year and a couple of nuances that we called out. But overall, we're expecting to continue momentum off to a great year.
Eric Des Lauriers: All right. That's helpful. And then as we look at the refresh and build side of your growth strategy, obviously, several projects that you're working on. Could you sort of help us rank order maybe from an eventual EBITDA contribution perspective or maybe a revenue contribution perspective would be easier. But just kind of how to think about those from an overall size or contribution standpoint. Just kind of help us think about which ones might be especially more impactful than others, which are kind of just tuck-ins, modest contribution? Just kind of help us wrap our head around some of these projects a bit more.
David Barry: Well, I mean, without getting into really specific detail, obviously, the work that we're doing at the Jasper SkyTram and the refreshing of that, and that's once-in-a-lifetime experiential infrastructure that takes you to an amazing beautiful place. And it's the only sightseeing aerial ropeway in Jasper National Park. And so that's something that obviously is for the ages. That's a location and an investment that is terrific and produces over the long term at a very high level. We're working on the Banff Gondola, as I just mentioned. Then you have a variety of other opportunities in below that. But I would say that without getting into specifics that our aerial ropeways are always really powerful economic engines and also great guest satisfaction engines. And that's -- people love a beautiful view no matter where they're from in the world. So as we get closer to things, we'll be able to articulate more clearly and -- but generally, every single thing, just a reminder that we look at from an organic refresh opportunity within the company, we have a minimum investment threshold of 15% IRR and the vast majority of the things that we do exceed that handily. And we look to invest in parts of the business to reduce friction, make guest experiences better and just create magic for our guests that are visiting. So that's the mindset we take, and we'll share more as we get into it.
Operator: There are no further questions at this time. [Operator Instructions]
David Barry: Thanks, everybody. Appreciate you joining us today on the call, and we will talk again soon. Have a great afternoon.
Operator: This concludes today's conference call. You may now disconnect your lines.